Operator: Good morning, ladies and gentlemen, welcome to Trican's Third Quarter 2013 Conference Call and Webcast. As a reminder, this conference call is being recorded. I would now like to turn the meeting over to Mr. Dale Dusterhoft, Chief Executive Officer of Trican Well Service Limited. Please go ahead Mr. Dusterhoft.
Dale Dusterhoft: Thank you very much. Good morning, ladies and gentlemen. I'd like to thank you for attending the Trican Well Service conference call for the third quarter of 2013. Here is a brief outline of how we intend to conduct the call. First of all, Mike Baldwin, our Senior Vice President of Finance and CFO will give an overview of the quarterly results. I will then address issues around current operating conditions and the near term outlook for each of our regions. We'll then open the call up for questions. Joining us today and available to address questions are Don Luft, our President and Chief Operating Officer; and Gary Summach, our Director of Reporting and Investor Relations. I'd now like to turn the call over to Mr. Baldwin to discuss the overview of the financial results.
Mike Baldwin: Thank you, Dale. Before we begin our discussion, I'd like to point out that this conference call may contain forward-looking statements and other information based on current expectations or results for the company. Certain material factors or assumptions were applied in drawing a conclusion or making a forecast or projection, as reflected in the forward-looking information. A number of business risks and uncertainties could cause the actual results to differ materially from these forward-looking statements and financial outlook. These risks and uncertainties include, but are not limited to fluctuating prices for crude oil and natural gas, changes in drilling activity, general and global economic political and business conditions, weather conditions, regulatory changes, the successful exploitation and integration of technology, customer acceptance of technology, success in obtaining issued patents, potential development of competing technologies by market competitors and availability of products, qualified personnels, manufacturing capacity and raw materials. Among the risks are the ability of the oil and gas companies to finance their operation in other unforeseen factors. Please refer to our 2012 annual information form dated March 21, 2013 for a more complete description of business risks and uncertainties facing Trican. Our third quarter results were released yesterday and are available on our website at www.trican.ca. As noted in our press release, consolidated revenue for the third quarter of 2013 was $548 million, a decrease of 8% compared to the third quarter of 2012. The adjusted consolidated profit was $10 million and adjusted profit per share was $0.07 compared to an adjusted profit of $25 million and an adjusted profit per share of $0.17 for the same period in 2012. Adjusted profit excludes the tax adjusted one time loss of $2.1 million relating to deposits held with an insolvent vendor. We also have $8.8 million in assets under construction with this vendor, we believe that we have legal appeal to these assets and are confident in our ability to defend this position. Funds provided by operations were $71 million compared to $49 million in the third quarter of 2012. Canadian revenue for the third quarter of 2013 decreased by 13% compared to the third quarter of 2012. Revenue per job decreased by 9%, due to a 20% decrease in price, offset partially by an increase in fracturing revenue relative to total revenue and an increase in fracturing job size. The job count decreased by 5% as an increase in fracturing and cementing activity was more than offset by a decrease in coiled tubing activity. Lower coiled tubing demand also had a negative impact on our nitrogen and acidizing job count as these service lines are closely correlated with coiled tubing. Canadian operating margins for the third quarter of 2013 decreased to 25.7% of revenue compared to 31.0% in the third quarter of 2012. Lower pricing led to a decreased operational leverage on our fixed cost structure however the impact of lower pricing was partially offset by product cost reductions for guar and sand and cost cutting measures implemented during 2013. Sequentially, Canadian revenue and operating income increased significantly due to the expected rise in industry activity as spring breakup conditions decided in the early in the quarter. For our U.S. operations third quarter revenue was down 8% compared to the third quarter of 2012. Revenue per job decreased by 25% due to the pricing reductions, a smaller proportion of fracturing revenue relative to total revenue and change in job sizes. Jobs performed in Haynesville are generally larger relative to other regions such as the Marcellus, Permian and Bakken. And the reduction in jobs performed in Haynesville significantly contributed to the decline in revenue for job. The job count increased by 23% due to increases in the Marcellus and the Eagle Ford plays combined with increased cementing and coiled tubing activity. These increases were partially offset by decreases in Haynesville and Oklahoma regions. The U.S. operating margins for the third quarter of 2013 improved by almost 1,500 basis points on a year-over-year basis. Cost decreases for guar, product handling and logistics and other discretionary items lead to the improvement in margins, these improvements were partially offset by reduced operating leverage on our fixed cost structure due largely to pricing declines. On our sequential basis U.S. revenue decrease by 9%, revenue per job decreased by 13% due largely to a change in revenue mix by region as less work was performed in Haynesville on a sequential basis. A decrease in the fracturing revenue relative to total revenue and a 2% sequential drop in price also contributed to the decrease in revenue per job. The job count increased by 3% due to an increase in work performed in the Marcellus region combined with increases in cementing and coiled tubing activity. These increases were partially offset by job decreases in the Haynesville and Oklahoma regions. As a percentage of revenue, materials and operating expenses remained consistent on a sequential basis. Lower revenue resulted in decreased operational leverage on our fixed cost structure, which was offset by continued progress made on cost cutting initiatives. Our International operations include the financial results for operations in Russia, Kazakhstan, Algeria, Australia, Norway, Saudi Arabia and Colombia. With Russia comprising the majority of our international results. Third quarter 2013 revenue for our international operations increased by 22% compared to the third quarter of 2012. The year-over-year job count increased by 17% due largely to increased activity for all service lines in Russia, favorable weather conditions and an overall rise in unconventional activity contributed to the increase. Higher year-over-year activity levels in Australia also contributed to the job count growth. Revenue per job increased by 7% due to an increase in fracturing job size in Russia and a slight increase in Russian pricing. International operating margins increased slightly compared to the third quarter of 2012 as increased operating leverage from higher revenue offset by increased product costs in Russia and operating losses in Algeria. International revenue increased sequentially by 12%, the job count increased by 28% due largely to increased activities for all service lines in Russia. The increase in job count was offset by a 9% decline in revenue per job caused by a decrease in fracturing revenue relative to total revenue. A 2% sequential weakening of the Russia ruble also had a slight negative impact on revenue per job. International operating margins increased sequentially by 950 basis points. Increased revenue from Russia, Kazakhstan, and completion tools led to increased leverage on our fixed cost structure. Trican’s total capital expenditures for the third quarter of 2013 were $26 million compared to $82 million for the same period in 2012. Our capital expenditures have come in well below our guidance over the last few quarters as we continue to focus on closely managing our capital program and cash outflows. Capital expenditures for the fourth quarter of 2013 are expected to be approximately $25 million to $35 million and approximately $75 to $85 million of the remaining capital budget is expected to be carried forward in 2014. We have effectively managed our capital spend during 2013 and we continue to manage the spend relative to our cash flow generated by operations. Subsequent to September 30, 2013 Trican’s syndicate of banks unanimously agreed to extend the company’s four year revolving credit facility for additional year to 2013. The revolving credit facility combined with our senior unsecured notes provides us with the stable debt structure with manageable maturity days through to April 2021. I will now turn the call over to Dale who will be providing comments and operating conditions and strategic outlook.
Dale Dusterhoft: Thank you, Mike. Although an extended spring break up impacted activity levels at the start of the third quarter, increased industry activity led to steady demand for our fracturing and cementing service lines in Canada. The number of third quarter fracturing jobs increased by 11% and cementing jobs increased by 2% compared to the third quarter of ‘12. Strength in fracturing cementing was partially offset by weaken result in our coiled tubing, nitrogen and acidizing service lines. Overall Canadian pricing levels improved sequentially by 4% over 20% lower than the third quarter of 2012 and 6% below the first quarter of this year. The Canadian market remains competitive in the third quarter and opportunities to increase prices were [eliminated]. Canadian fracturing benefited from our Horn River project that was completed during the third quarter. The six weeks project exceeded our efficiency target that we completed 6.8 fracs per day, which compared to 6.3 fracs per day performed during the 2012 projects and 4.4 fracs per day during the 2011 projects. The Horn River project represented 9% of our fracturing revenue during the quarter. We have gained considerable experience on the Horn River over the past several years and believe we are well positioned to benefit from growth in this play, when activity increases in this region. We believe that Horn River activity will increase as interest in LNG gas related drilling increases. We also anticipate that there will be some level of LNG gas related drilling next year, but the majority of drilling of wells the LNG export will occur past 2014. Canadian third quarter fracturing results also benefited from increased activity in the Duvernay, fracturing work performed in the Duvernay represented 16% of total third quarter fracturing revenue compared to 6% in the third quarter of ‘12. We have worked with several customers in this region today and believe we’re well positioned to capitalize on the growth of this play as it develops over the next several years. Our technology offering had a positive impact on our third quarter Canadian results. We continued to gain excellent market acceptance of our MVP fracturing system and fractured almost 900 stages for several Canadian customers primarily in the Cardium, Montney and Wilrich plays during the third quarter. Our customers continue to see increased well productivity from this flow system. In the quarter we have increased the number of formations that the technology is being used on and have broadened the customer base using the fluid. We have now fractured approximately 2000 stages with this product since we introduced it and we will continue to focus on marketing this product in Canada and in other geographic regions. Based on discussions with our Canadian customers we believe Canadian demand for pressure pumping services in the fourth quarter will increase over ‘12 level but decrease sequentially due to the normal December slowdown experienced in our industry. Activity levels expected to be supported by the growth in the Duvernay as well as continued strong demand in Montney, Cardium and Deep Basin plays. Although the Canadian market remains very competitive, we expect fourth quarter Canadian pricing to be remained stable compared to the first quarter of 2013, furthermore we do not expect Canadian pricing to increase until activity levels and equipment utilization remains strong over a sustained period of time. At the present time, the Canadian market remains slightly over supplied to balance with fracturing equipment. We will continue to monitor the Canadian competitive environment and will look to increased pricing should the opportunity arise. Our customers are currently finalizing their budgets for 2014, however early indications are that there will be a similar amount of wells drilled in 2014 compared to ’13. We believe there will continue to be an increase in fractured stages per well and an increase in fracturing horse power intensity per well and we will see increased 2014 budgets from our key customers. As a result we expect the 2014 fracturing demand to increase compared to 2013. In the United States third quarter industry activity levels were relatively flat compared to the second quarter of 2013 and U.S. pressure pumping market remains very competitive and substantially over-supplied. We continue to see pricing pressure to all of our U.S. operating regions as pricing decreased by 2% sequentially and by 10% compared to the third quarter of ‘12. We expect the U.S. market to remain oversupplied in the fourth quarter of ‘13 and into ‘14. Pricing appears to be stabilized in most of our U.S. operating areas and we expect it to remain stable in the fourth quarter. However, given the current competitive landscape in the U.S. we will continue to face the risk of downward pricing pressure and do not expect the U.S. pricing to improve over the next several quarters. Revenue and operating income increased sequentially for our Marcellus base during the third quarter. More fracturing crews were active in the Marcellus and demand was strong throughout July and August, however activity levels declined at the end of the quarter and some of our key customers reduced activity levels in this region. The increased Marcellus activity was more than offset by declines for our crew operating in the Haynesville, Oklahoma regions. Activity levels at Oklahoma were negatively impacted by low gas prices as well as reduced activity levels of our few key customers operating in the region. Haynesville activity levels continued to be weak due to lower natural gas prices and our fracturing crew in this area was inactive during the third quarter. As a result we are deactivated the Haynesville grew and except it to remain inactive until activity levels improve or another opportunity becomes available. Our Haynesville base in Longview, Texas will remain open as we continue to offer cementing services from this location as well as support fracturing operations in the Eagle Ford, Woodbine, Eaglebine and East Texas. The Permian, Eagle Ford and Bakken continued to be the most active U.S. plays, although these areas remained very competitive and over-supplied with fracturing equipment during the quarter. Utilization for our two Eagle Ford fracturing crews remained stable and the utilization of our Permian and Bakken crews increased on a sequential basis. Despite the improvements, there is still room for additional utilization improvements in these two regions. We will continue to focus on expanding our customer base to increase utilization of our equipment in these areas with the expectation that this will meaningfully improve our U.S. financial results. We expect there will be a seasonal slow-down in the U.S. activity in the fourth quarter during the Thanksgiving and Christmas holiday periods and also as U.S. producers complete their 2013 capital programs. Some of our key U.S. customers have indicated that their activity levels will be reduced in the fourth quarter, in particular our customers in the Marcellus region which is our most profitable region this year. As a result, we expect fourth quarter revenue and operating income to be significantly lower for our U.S. Operations. We see improvement in 2014 as we have secured a two year first call contract for a third crew in the Marcellus that starts in January. And our existing customers in these areas are also re initiating their programs in the New Year which will results in us being fully utilized in the Marcellus with three crews in the first quarter. Our Eagle Ford operations will stay busy during the fourth quarter, with normal Christmas and Thanksgiving slowdowns both of our Eagle Ford crews will be working in Q1 and we anticipate strong utilization in this area for these crews. As mentioned, we have seen in an increase in our Permian activity levels in the third quarter and will continue to work on further improving our utilization in the fourth quarter. Utilization improvements in this region will be dependent on customer mix and focusing on working for clients with steady state continuous work programs. We do anticipate the December slowdown with our customers in this region that will affect fourth quarter results. There is growth of horizontal wells in the Permian and we are seeing increased demand for fracturing crews in this region in 2014. Pricing however does remain competitive, but we believe it is at the bottom. We've made some progress last quarter and improving utilization of our Bakken crew, but this crew still remains below our expectations. We will continue to focus on improving utilization of this crew to our recycle [cross] fluid technology and the book work in the fourth quarter using these fluids in turn. Our Oklahoma crews were not fully utilized in the third quarter and we do not anticipate an increase in activity in this region perhaps until the first quarter when the customer programs increase. Cementing operations remain strong during the third quarter and we anticipate that this service line will remain strong with the usual holiday slowdowns in the fourth quarter and in 2014. Coiled tubing utilization was below expectations last quarter. We've signed a new coiled tubing contract with a major customer in the U.S. that will improve utilization in this service line this quarter and in 2014. We do however anticipate that some of the customers will slow their programs at the end of the year and then increase again in 2014. Our Russian operations comprised the majority of our international results and Russian activity levels were strong during the third quarter. Summer months are more active with long day light hours and favorable operating conditions which allowed our Russian customers to execute their work plans. In addition, horizontal and multi-stage fracturing activity has increased in Russia compared to 2012 and as a result fracturing job size and activity levels have increased. We're currently tendering work for 2014, we are encouraged by the recent tax loss agents that encourage horizontal drilling and pipe reservoirs and increased horizontal programs of our customers, the market however is expected to remain competitive during the tendering process, which will limit our ability to meaningfully raise prices. Third quarter financial results were strong for two fracturing crews in Kazakhstan as revenue and operating margins increased at a sequential and year-over-year basis. We’re currently tendering our 2014 programs in Kazakhstan and cannot provide 2014 guidance at this time. Financial results in Algeria were weak in the third quarter due to low activity levels partially due to Ramadan and cost incurred from shutting down our primary cementing business. We are currently operating two coiled tubing crews in Algeria and have reduced cost, tasks which should improved sequential profitability in this region. We will continue to focus on improving the utilization of our coiled tubing crews in Algeria in order to increase profitability in 2014. We continue to see good growth in cementing revenue in Australia during the third quarter. Steady growth is expected for our Australian cementing business in the fourth quarter of this year. And we are encouraged by Australian growth prospects heading into 2014. We will continue to focus on adding coiled tubing and fracturing services to this market. No work was performed in Saudi Arabia or in Columbia during the third quarter. We are currently deploying equipment into these regions and expect to begin active operations in early ‘14. We have been awarded the contract in Saudi Arabia for one coiled tubing unit and associated pumping in nitrogen equipment. We continue to negotiate additional contracts in this area. Our equipment in Columbia will be deployed late in the fourth quarter and is expected to be operational in the New Year. We are pleased with the progress made by our completion tools division during the third quarter of ’13. We have seen good customer acceptance of the tools across all of our major operating regions. In particular international completion tools revenue increased by 50% sequentially and US completion tools revenue grew by 20% sequentially in the third quarter of this year. In Canada we introduced these tools earlier this year and have seen good customer acceptance and growth, but results are still not meaningful to our Canadian operations. Going forward we will continue to focus on the increasing revenue for this service line through marketing efforts and integration with our other service lines. We will also focus on broadening our customer base, improving logistics and reducing our manufacturing cost to increase margins for this service line next year. In the third quarter we were pleased with our Canadian international results and disappointed with our US performance. Our Canadian operations benefited from strong market positions, strong customer base and increased work in the Duvernay and Horn River plays and favorable operating conditions and steady activity levels led to good results for our Russian operations. We also continue to execute on our strategy to extend our geographic and service line reach by making progress in Australia, Columbia, Saudi Arabia, as well as in our completions tools division. Our US operating results continued to be well below expectations and improving US operational and financial performance is a key focus of our management team. Thank you for your attention today and your interest in Trican, I would like to turn the call over to the operator for any questions.
Operator: Thank you. (Operator Instructions) Our first question is from Dan MacDonald with RBC Capital Markets. Please go ahead.
Dan MacDonald - RBC Capital Markets: Hi. Good morning, guys.
Dale Dusterhoft: Hi Dan.
Dan MacDonald - RBC Capital Markets: Just wondering if you look at the Marcellus contract there, I mean you could kind of comment on a high level where sort of the pricing dynamics are for that in comparison to what you are seeing in some of your other regions?
Dale Dusterhoft: It would be conceptive of what we are seeing kind of in current pricing environment in the US. So the Marcellus as I mentioned in the call is our highest possibility area. And so I would say it’s higher than what we see in some of our other Southern US regions, but consistent with our other Marcellus work.
Dan MacDonald - RBC Capital Markets: Okay. But that are on a kind of leading edge basis than what you see currently in say Texas?
Dale Dusterhoft: Yeah, that’s correct. I mean Texas is a very [twice], but it would say be better than the Permian, Oklahoma regions and certainly anything around the Barnett, maybe not that much better than what we see in the Eagle Ford.
Dan MacDonald - RBC Capital Markets: And then do you see the potential to bring back the forward spot market crew that you had operating in the Marcellus in the summer or you think that’s really, you have might be sufficient to start the year off?
Dale Dusterhoft: Yeah, we do actually see some opportunities in that and we are currently looking at additional work scope in the Marcellus in Q1. So we are tendering for our fourth spot market crew and they are all potentially even the fourth contracting crew in there, but it’s too early to say how that will turn out for us.
Dan MacDonald - RBC Capital Markets: Okay, thanks. And then just looking at the high-tech business is there any one particular region in the US that has seen better uptake of that tool business? And the growth that you saw in this quarter from Q2, can you kind of give us the high level as to how much of that might have been on Trican frac job specifically?
Dale Dusterhoft: Yeah Dan, actually the majority of the work would be outside of Trican frac jobs. So we haven't bundled too much on that service line yet, but we are starting to get a little traction on that in some regions. The majority of the growth has been in the Eagle Ford and it's actually being growth in number of stages per well. So we've been doing over a 100 stages per well for some clients in the Eagle Ford with that technology and that's where that technology is really well suited. So that's actually grown in the number of tools that we're running in the wells substantially. We've also seen some growth in the Oklahoma region as well. And as we go forward here, we're trying to broaden into some of the other plays in a little more meaningful way.
Dan MacDonald - RBC Capital Markets: Okay, great. I'll turn it back over. Thanks.
Dale Dusterhoft: Okay. Thanks Dan.
Operator: Thank you. Our next question is from Sean Meakim with Barclays. Please go ahead.
Sean Meakim - Barclays: Hey, good morning gentlemen. I was hoping you could maybe just kind of rank for us the US markets looking forward towards 2014 in terms of the opportunity to improve margins, there is the cost side, supply chain and logistics, there is the opportunity let’s say for better pricing, but for improved utilization. Can you kind of walk us through how you rank the opportunity set for 14?
Dale Dusterhoft: Yeah. I’ll maybe just talk about cost control first of all, that's still a focus for us. In our US operations we believe that pricing is where at that. So we have to focus very hard on reducing our cost and that would be across all the basins. So there is no particular area that we focus on more than another in those areas. In terms of opportunities to improve margins, I would say definitely, if you look at the Marcellus slowdown that we're seeing in Q4, we can improve our margins substantially in the Marcellus going into Q1. Again it was pretty good for the first three quarters of this year, but if we get a full year run rate in there that makes a substantial difference. Eagle Ford is probably going to run fairly similar to last year. And then the areas that are still the most meaningful areas for improvement would be the Permian, Bakken and Oklahoma. So our crews in both, all three of those areas could use additional utilization improvement that will improve profitability substantially. We don’t anticipate much improvement in the Barnett Shale. It’s a pretty flat region for us. And as we've mentioned we have inactivated the Haynesville crew and really wouldn’t put that to work unless we saw an opportunity in there or some other region.
Sean Meakim - Barclays: Okay. Actually that’s helpful, because it ties into my next question. We've been hearing a lot of incremental data points this earnings season from [ENPs] about ramping activity in the Permian next year. I know you guys are also kind of ramping up a new facility that should help your cost in that market. Can you talk about what you’re hearing from customers in the Permian there is kind of the outlook for that market and how that could drive better utilization next year?
Dale Dusterhoft: Yeah. We're in the same thing. The horizontal well growth there is certainly driving additional activity levels in there and we're getting inquiries where more crews, but primarily I think we're working very hard just to improve the utilization on our existing crews. So getting, treating our customer mix around a little bit that will allow us to do steady state workflow. So at the current pricing levels we have to do job after job after job work with no gaps or breaks in there and that’s where we're really focusing on. And we're seeing opportunities to improve that going into ‘14 in particular. So slightly encouraged I think by what we're seeing, it’s certainly through the bottom in that area, but it’s too early to say whether where we're going to be at on essentially adding additional equipment or improving the utilization there just yet.
Sean Meakim - Barclays: And can you just give us a little bit color on that change in customer mix, how you’re going about that process and what that entails?
Dale Dusterhoft: Basically it means switching around some of your customers. So it’s some of the customers in there that we are looking forward doing too many stop-start programs or working two weeks a month form and then having a [back-fill] of the other two. So it’s working those customers out of our workflow and [replacing] the customers that are doing more steady state work.
Sean Meakim - Barclays: All right great. Thanks a lot.
Dale Dusterhoft: Yeah. Thanks Sean.
Operator: Thank you. Our next question is from Scott Treadwell with TD Securities. Please go ahead.
Scott Treadwell - TD Securities: Thanks. Good morning guys. Maybe just to jump up back into the states for a second, the Haynesville crew that you deactivated, I would assume it’s a pretty fair assumption that the pricing you’ve made was working at would made it, skinny margins at past, so shutting it down maybe structurally increases the margins you have just on an operating basis?
Dale Dusterhoft: No, I wouldn’t say that. I mean in the first half of the year that crew was profitable and it would have had, it would have been below say Marcellus, Eagle Ford margins, but not so low that it wasn’t worth running. But that new contract as we mentioned I think at our last call, the new contract that we could have taken for that would have had it running at margins that were unacceptable to us. So that's why we shut it down this third quarter. And any other work that we could have picked up in the area was kind of in that same area that it wasn’t worth while doing. So that's why we shut it down on a more permanent basis now. I would say that shutting it down will improve our financial position for fourth quarter over three, because we’re going to reduce some cost associated with that. But when we are working in the first quarter it was positive for our results, first half of the year.
Scott Treadwell - TD Securities: Okay. So just to tidy that up and you don’t anticipate any one-time cost in Q4 associated with the shutdown?
Dale Dusterhoft: No.
Scott Treadwell - TD Securities: Okay perfect. I guess to follow on the last question in the Permian have you taken delivery and moved into all of the facilities that you were building there. And if so, is there any magnitude of cost reduction or sort of margin expansion you can expect based on what you see today?
Don Luft: Yeah. We are in just in that facility here in the last month and so we’re where we want to be. And yes, we’ve kind of guided for some time now that we’d see couple of 100 basis points of margin improvement due to efficiencies that we’ll get from product movement over the next few quarters and also our -- start to should be lowered. So we’ll continue to focus on that. And I would anticipate that once we’re kind of fully in that facility and operational there which we are kind of in there now then we’ll start seeing some of those savings.
Scott Treadwell - TD Securities: Okay. Moving to Canada, I guess a couple of plays to talk about. Can I just get a confirmation did you say that the Horn River was 9% of your fracturing revenue in the quarter?
Mike Baldwin: Yes it was.
Scott Treadwell - TD Securities: Okay. And looking ahead, has there been any material tendering for the far North of BC for next year? I know one Liard package is out, but what’s the landscape looking like for the next 12 months in the Horn River and Liard?
Dale Dusterhoft: Our view is there won’t be anything material increase for next year yet, but it’s still little bit fluid as some of our customers are still declining their work skills. So we would be along the lines that it’s going to be similar to what we saw in 2013 and probably not see an increase in the Horn River or some of the far North plays until maybe late ‘14, but into ‘15.
Scott Treadwell - TD Securities: Okay. And turning to the Duvernay a couple of announcements over the last week on concentration in that play, on your part, any more clarity on the activity level you expect to see in the Duvernay or potentially just the timing of that? Does it ramp up kind of Q1 or do you think it's maybe more back half weighted?
Dale Dusterhoft: I would say there is no more clarity about the types, our customers are still finalizing their work programs in there. We anticipate that we will maintain our share in there and so it’s still going to be a pretty strong contributor to Tricon in 2014, it will probably start out relatively slow, but slow meaning that’s similar to what we see now and then growth throughout the year. So a little bit more back half weighted.
Scott Treadwell - TD Securities: Okay. My last one just kind of Q1 as it stands today, obviously weather is a huge wild card for March. The last two years have been characterized by a relatively slow start to January. How does that look today? Obviously, you may not have full clarity, but does it look a little bit better or about the same as last year?
Dale Dusterhoft: Yeah, we don’t have clarity on that. The reason that we started off pretty slow last year, if we recall was that our lot of Canadian customers slowed down in December and pulled the rig count substantially back, so they have to get the well drilled in early January prior to us really ramping up our fracturing activity so many picked up relatively quick, but fracturing lagged in January. And this year we don’t have that much clarity on whether they are pulling back their programs. Yeah, we do believe that there will be a normal kind of pull back that we haven’t heard exactly whether it will be mid December or later in December and to what extent the rigs be falling off. I mean our customers are still that fluid in that and their decision making themselves.
Scott Treadwell - TD Securities: Okay. Thanks, guys. As always, appreciate the time.
Dale Dusterhoft: Yeah. Thanks a lot Scott.
Operator: Thank you. Our next question is from Dana Benner with Altacorp Capital. Please go ahead.
Dana Benner - Altacorp Capital: Good morning, Dale.
Dale Dusterhoft: Hi Dana.
Dana Benner - Altacorp Capital: I wanted to start with Canada and ask you about the pricing dynamic, a number of different I guess cross currents are out there right now and you've put up some pretty solid Canadian results off the back of the Horn River project, et cetera. But is there any chance that we could see any pricing weakness in Q4 versus Q3 while we wait for winter to get going or do you think you are pretty solid there?
Dale Dusterhoft: We're anticipating flat pricing into Q4. Customer mix sometimes changes that little bit, if you have one customer that maybe dominates the work flow more than another it might change it. But overall, we're not anticipating and we're far enough into Q4 that we’ll be dropping our prices to our clients in Q4.
Dana Benner - Altacorp Capital: Okay. Then looking at your margins mid 20s pretty good in context that's for sure, how big of a contributor was the Horn River to you achieving that level of margin, i.e., without the same type of project in Q4. Could we see margins pull back just by not being able to use scale to your benefit?
Mike Baldwin: Obviously the Horn River was the scale helped margins in the third quarter, but with the fourth quarter you're going to see some more winter drilling going on and completions and that type of things. So a lot of that work on this is relatively flattish. So I would, that will be a bit of an impact, I think we're more looking to pull back around the Christmas time period having more of margins necessarily switching out Horn River activity for other activity.
Dale Dusterhoft: I think we, in the call we did guide that sequentially we look to pull back that and primarily as Mike said that’s really due to the December pullback that we've seen in the last two, three years.
Dana Benner - Altacorp Capital: Okay, so just seasonal. Two more questions. Moving to the US, you've noted ongoing work on cost control. That's certainly very common amongst so many companies right now and also trying to modify the client mix, you’ve got a change of leadership recently announced in the US. And I wonder if there, is there any other material part of the strategy that we have yet to really appreciate about your efforts in the US that could come by virtue of the change in leadership?
Dale Dusterhoft: I would say that no, nothing, that’s specifically tied to change in leadership. We have not named the full time leader of our US operations yet and the process of doing that probably in the next quarter or so.
Dana Benner - Altacorp Capital: Okay. Just one final question as it relates to Saudi Arabia. You note that you will begin work in 2013, but obviously fracking is the big prize. Is there any chance at all we could see fracking in 2014 or is it just too tight in 2015 realistically would be the earliest we could see it?
Dale Dusterhoft: Yeah, they’re not doing enough fracturing right now they’re just by putting crew in there from the utilization standpoint. So we don’t anticipate that we would see anything in ‘14 there is probably additional opportunities we're spending in [coiled] tubing, but nothing on fracturing.
Dana Benner - Altacorp Capital: Okay. I'll turn it back. Thank you.
Dale Dusterhoft: Okay. Thanks Dana.
Operator: Thank you. Our next question is from John Daniel with Simmons & Company. Please go ahead.
John Daniel - Simmons & Company: Hi, guys. Dale, first question, it's more of a follow-up to several of the preceding ones, it sounds like the outlook for the U.S. in the Q1 is better, but for obvious reasons, you are not trying to predict how many incremental fleets will go back to work. So want to pose the utilization question in a different way. If you look at all of the increase that are coming in today, what your guess in terms of an industry-wide step up in utilization from (inaudible) get into next year? Any thoughts would be appreciated.
Dale Dusterhoft: I think what we would be seeing is [topic] really similar to what we are seeing from the capital budgets of our clients. And their budgets maybe up 10% to 12% on an overall basis kind of our estimates. And I would say that we would be seeing kind of similar level of requests across the board, but it is very regional and that's still the one thing, John, that we see as that some areas of course utilization is pulling back or flat and then in the Permian, the Marcellus and Eagle Ford to a smaller extent, there is acquires additional equipment.
John Daniel - Simmons & Company: Okay. At this point, would you expect that the Q1 would be more kind of Q3 results or Q2 results of this past year, just from a topline perspective?
Dale Dusterhoft: I would think that with the three Marcellus case going back to work and the Eagle Ford remaining fairly strong that we've probably be should see some revenue growth over what we saw in Q3.
John Daniel - Simmons & Company: Okay. And then just another one here on the current pricing pressure, how much of that is being driven by some of the larger companies seeking the past along cost efficiencies versus smaller private guys just trying to maintain existence?
Dale Dusterhoft: Yeah, I think it’s probably shifted more towards the smaller guys keeping prices down now than it has the larger. So I think the larger guys as you probably noted in monitoring them is they have increased their -- they have got the utilization where they wanted it kind of earlier in the year. And for the most part I would say they are playing with prices too much more cost out, where the smaller guy there I would say are maybe still trying to improve utilization and so we are seeing more pressure from them.
John Daniel - Simmons & Company: Okay, that’s it for me. Thank you for your time.
Operator: Thank you. Our next question is from Jon Morrison with CIBC World Markets. Please go ahead.
Jon Morrison - CIBC World Markets: Specific to your U.S. business which regions are you most optimistic about the potential to improve profitability through increased utilization in the coming few quarters?
Dale Dusterhoft: Yeah, well, if you, obviously as we talked about the Marcellus and then still the Permian and the Bakken are the two areas that we have the most optimism on and then Oklahoma would be the fourth one. The Oklahoma still is, there is quite a bit of gas work done in there and there is just the customer mix in there is a bit choppy in terms of their work flow. So that would maybe the fourth area that we would think would kind of pull up.
Jon Morrison - CIBC World Markets: How many of your currently active U.S. regions continue to produce negative operating margins at this stage?
Dale Dusterhoft: We don’t disclose that.
Jon Morrison - CIBC World Markets: Okay. In Canada your comments around the increase of expected E&P spend Duvernay, Deep Basin, is any of that based on from contracts or visibility to contracts at this point or is it more historical customer relationships and likelihood that those trends lead to increased activity next year? I guess the question is, have you won any major contracts in the last two to three months that you give guidance in early for 14?
Dale Dusterhoft: And lot of our Canadian work has ever been rolled, ever been worked, we have really long standing relationships with some really key clients. As those clients will kind of continuously always work with them on what their programs are going to be, and so I say we are getting priority from those clients and what their jobs will be for next year and what the equipment requirements will be for next year. They are not really contract award, that’s more just rolled over work where we are negotiating a price for, and they have given ups an expectation of what their clearly level will be. There isn’t anything that would be, I’d say a new contract award (inaudible) number, is just really growing off of what we have and kind of continuing on the direction that we’ve always had.
Jon Morrison - CIBC World Markets: Your referenced technology continuing to be focus and hopefully something that rise increased utilization in the U.S. going forward. I am just wondering how much tools and fluid systems or other technologies actually lead you guys to increase pressure pumping awards over the last few quarters in the U.S.?
Dale Dusterhoft: Yeah, we are actually disappointed I think with the technology of limitation to some extent in U.S. that hasn’t really slung our numbers as much as we would have anticipated earlier this year in some areas. So in the Bakken for example, I think I have mentioned in the past that we have done some tests also to recycle fluid, customers are monitoring those wells, they haven’t really turn that into full steady state work, that’s what we want to see. But they also haven’t got the fluid that is not that they want to do. So it’s just slow to develop, so it’s a speed thing and so I say that were behind where we thought we would be with the recycled water, we are also behind with our MBP introduction in the U.S. We have really good success with that fluid in Canada, we have been pushing it hard in the U.S. for the last couple of quarters, but we haven’t had customers really jump in with any meaningful programs on that fluid yet. So we'll focus on it, we believe they are very, very good technologies and they will make a difference just slower to adopt in particular when the customers are worried mainly about price and what the cost is on every single nickel spending right now in some of the areas. The i-TEC solutions, we are very, very happy with the customer adoption there. And I would say that that technology certainly has been -- on a standalone basis has been well accepted by the clients and it's starting to grow at a level that we anticipated that it would. We haven't necessarily bundled it with a lot of fraction yet, but we'll start marketing that approach probably in ‘14 or a little bit more.
Jon Morrison - CIBC World Markets: How much of the i-TEC work has provided visibility or insight into potential new growth markets in the international regions?
Dale Dusterhoft: It's an interesting technology, because it does allow us to enter into some areas without a capital cost. And so there are some international areas that are outside of our areas right now that we are looking at currently selling i-TEC technology into, that are new to Trican, which gives us a test or a toe in the water in those regions, without having really to invest in any kind of infrastructure or transfer equipment in. We just bring in tool people and tools to run in these areas. So I would say that you will see us primarily focus on introducing i-TEC in our existing regions and we may double a little bit into some others if we think there is a big enough opportunity.
Jon Morrison - CIBC World Markets: Just in reference to the Australian stuff in the release, can you give any color in terms of expectations for ‘14 or potential expansion of services in that market?
Dale Dusterhoft: Yeah, I would say, at present time, we'll focus on primarily on selling services and we've been awarded a cementing contract with one of the large producers in Australia. We anticipate it will grow within that contract now, so there is ability to continue to provide more cementing services within that contract. And that will be our focus and get our spending utilization up as we go forward. There will be opportunities for fracturing coiled tubing but they are tender specific and we will be tendering those. And if we're successful, then we’ll be adding those services to the market.
Jon Morrison - CIBC World Markets: I appreciate the color. I'll turn it back.
Operator: Thank you. Our next question is from Kevin Lo with FirstEnergy. Please go ahead.
Kevin Lo – FirstEnergy Capital Corp: Can you kind of talk about the impact of 24 hour ops this quarter, how to increase like what we're hearing from other guys are and how that kind of impact the utilization of equipment?
Gary Summach: Kevin, it’s Gary. 24 hours really hasn’t changed sequentially. We're still running about 30% of our horsepower in the U.S. and about 20% in Canada. So we've seen an increase in the amount in the U.S. but it hasn’t resulted in an increase in the our 24 hour crews as of yet.
Dale Dusterhoft: I will say that Kevin we’ll continue to look for opportunities in particular Canada to increase 24 hour operations, in the U.S. it’s a little different situation. There is some opportunities where you can do that. But in other areas as I mentioned in the past you don’t want to be doing 24 hour work for a 10% EBITDA or something like that. This is not that good to where all our equipment at those levels. But want you to take a look at that going forward I would anticipate in both regions you’ll see more 24 hour work throughout ‘14.
Kevin Lo – FirstEnergy Capital Corp: Yeah, great. As you’re getting into Q4, your outlook seems to be a little bit better for Canada utilization picking up, I mean is it the usual suspects or are you seeing the any particular region that little harder than others like talking about Montney and what not?
Dale Dusterhoft: Yes. The same ones that we talked about in the call, it’s the Montney, the Cardium, [Wells Reps], the Deep Basin, all of those prices still primarily the drivers and then the Duvernay which is starting to become more meaningful for us, 16% of our overall fracking comes on not insignificant.
Kevin Lo – FirstEnergy Capital Corp: Okay. Just the last thing I guess is just from where you guys stand right now, you were talking about Marcellus being that become a better market for you, Permian being a better market and I understand that some of the other, there is maybe challenging, but at what point do these good markets get pricing leverage, when do you see pricing leverage in those markets?
Dale Dusterhoft: Yeah, we don’t anticipate pricing levels there for at least next few quarters, so that's a fluid situation that it’s really going to depend on the overall U.S. supply demand balance and whether our competitors as well as ourselves start getting higher utilization across our all fleets and there is a lot of extra capacity available out there to tender. So I would say that at least a few quarters away from that, we don’t anticipate anything in the first half year for example. The one thing we do see from our some of our U.S. clients is they are willing to use higher quality, high service quality, they will pay for technology in some areas and they are also -- they will want to reduce their operational costs. So if you have, if we can go out there and demonstrate that we’re more cost effective solution for them then we do get the work, so there is some differentiation in that way, where you may get a little bit better price because you are just more efficient and so we’ll focus on that as differentiator for Trican as well.
Kevin Lo – FirstEnergy Capital Corp: Okay. Thanks guys.
Operator: (Operator Instructions) Our next question is from [Sean Wetmore] with National Bank. Please go ahead.
Unidentified Analyst: Lots of good detail on the U.S. you gave us, I am just trying to sort of put it together, it’s got a seasonal slowdown for holidays but cost control initiatives (inaudible) will spread. Is it reasonable to think of on a sequential basis in the Q4 margins contracting?
Dale Dusterhoft: Yeah, I think that’s the message that we put out there as both revenue and margins go down in the fourth quarter and we have -- we’re not providing real positive guidance for the fourth quarter in any of our regions in the U.S. right now especially with the Marcellus coming off as hard as it is. So we I think the word I use with significant drop in our fourth quarter.
Unidentified Analyst : Okay, and can you provide any insight with sort of the margin progression heading into 2014, you have talked qualitatively about sort of increased work in certain basins but on a number standpoint?
Dale Dusterhoft: Yeah, we don’t provide margins guidance on that Shaun. We can just basically guide you towards activity levels and pricing and those things and cost control. So won’t be able to provide anything more specific than that.
Gary Summach: Yeah I think on that though as Dale said earlier, we do expect -- our feeling is that from a revenue perspective that you would see Q1 levels be a little bit higher than Q3. So that might be a data point that you can kind of take a look at.
Unidentified Analyst: Okay. And then, is there any potential for additional crews being going to park in the U.S. coming in the next sort of six months?
Dale Dusterhoft: We wouldn’t anticipate any in the next quarter and I can’t say top that, but we will continue to do, we think this right in terms of cost control and adjusting our fleet to make sure that we are right size for the market. So right in the next quarter, I think we are kind of sitting where we want to be to roll -- keep monitoring that.
Unidentified Analyst: Okay. And last one for me, switching Canada, you talked about some of the regions whether the bit more activity, is Trican winning market share in any of those regions or is it just that overall demand for work is going up?
Dale Dusterhoft: Well, it’s hard to track market share in the Canadian marketplace actually because there is no real database that tracks fracturing market share. We know our spending market share is very high, we do well there track that, but I would say that we are real comfortable with our position. I think our Canadian results were quite good on relative basis compared to everybody else. So that would indicate to us that we had a very strong last quarter and probably had a very strong market position during the quarter as well. So around about where I guess we did increase market share in the last quarter.
Unidentified Analyst: Okay, thanks very much.
Operator: Thank you. There are no further questions registered at this time. I would like to turn the meeting back over to you, Mr. Dusterhoft.
Dale Dusterhoft: Yes. Well, thank you very much for your interest in Trican today. We appreciate you have taken time on your busy days and we look forward to talking to you at the end of our next quarter. Thank you.
Operator: Thank you. The conference has now ended. Please disconnect your lines at this time and we thank you for your participation.